Operator: Good day and welcome to the Ferrari N.V. 2016 First Quarter Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Nicoletta Russo, Head of Investor Relations. Please go ahead ma’am.
Nicoletta Russo: Thank you, Julia and good day to everyone on the call. There are two topics that we plan to cover today. First, the Group's first quarter 2016 financial results and then our commercial and brand initiatives. In light of these, the call is expected to last around 45 minutes. All relevant materials are available on the Ferrari Investor Relations website. Today's call will be hosted by the Group's Chairman and CEO, Sergio Marchionne and Mr. Alessandro Gili, Group Chief Financial Officer. At the end of the presentation, they will be available to answer your questions. Before we begin, let me remind you that any forward-looking statements we might make during today's call are subject to the risks and uncertainties mentioned in the Safe Harbor statement included on Page 2 of today's first quarter 2016 results presentation and the call will be governed by this language. With that I'd like to turn the call over to Mr. Marchionne.
Sergio Marchionne: Thanks very much. I am just going to keep my comments to limited number of remarks about the first quarter of this year. I think you’ve seen from the numbers that we have, as expected, delivered an incredibly strong quarter. The order books remained incredibly strong. We have been able to post results on a EBIT basis which are certainly at historical levels for Ferrari. Alessandro will explain to you the impact of hedging and what it’s had in terms of the results for the quarter. Although these margins appear to be marginally below what our best competitor in this industry has done historically that is Porsche. If you were to strip out the impact of the hedging policies that we’ve had in place for the first quarter of 2016, we would have been well in excess of the 20% mark. I think it’s an indication of the kind of profitability that we can expect for this business going forward. The product launches are going as expected. We saw that the successor to the FF in Geneva received – had been received incredibly well by our customers. I think the order book is beginning to build well. The will be in market by Q3 of this year. I think that the rest of the product portfolio is shaping up well. The order book, especially for the 488 and the convertible is quite long. We are well into 2017 now. We really have no bad news to report other than the fact that we remain hugely disappointed by the performance of the Scuderia, the race yesterday. I just think finished a meeting with the leadership team for the racing activities. I think that we have to renew our effort to make sure that we can reposition Ferrari properly. We have had 4 podiums in the first four races. Unfortunately we did not win any of the four races, and I think that we need to correct this pretty quickly. But on that basis, I give it to – I pass the call on to Alessandro. One more thing. We have, as indicated, during the road show and certainly at the end of the year, indicated that we wanted to get out the financial services business. It was something that we considered to be non-core. What we’ve announced today is the first step in the process of removing that leverage from our balance sheet. Hopefully we will have it brought home by the end of the year. The US position needs to be looked at quite carefully because of the fact that it’s a crucial piece of our business in the US. So we will come with a creative solution to that objective too. I think we are on track on everything that we have mentioned to you both on the road show and in terms of the year end results. So Alessandro, over to you.
Alessandro Gili: Thank you, Mr. Marchionne. Good afternoon everyone and thank you for listening in the call. I am proud to present this result for Q1 2016. Our shipments grew to 1,882 units, showing an increase of 15%, all the regions up due to the strong start of the new models, the 488 GTB, the 488 Spider and the F12tdf and despite LaFerrari finishing its limited series run. Group net revenues reached €675 million, up 8.8%. Adjusted EBITDA reached €178 million with a margin increase of 110 basis points. Our net profit for the group was up 19% to €78 million and this is our best first quarter ever in the history of Ferrari. Our net industrial debt was slightly down from year end to €782 million and our industrial free cash flow generation for Q1 2016 was €28 million. As a result of the recently finalized bond issuance, we are now commenting net industrial debt and industrial free cash flow as our key financial metrics. We signed today a memorandum of understanding for FCA Bank to acquire a majority stake in Ferrari Financial Services AG which is a wholly owned subsidiary which provides retail and leasing services in certain European countries. Early this year, as Mr. Marchionne just said, we launched the GTC4Lusso which will replace the FF and finally that season – the racing season has just begun with 4 podiums that we’ve achieved so far in 2016, totaling 700 podiums throughout our racing history. And guidance has been revised upwards with shipments higher than 7900 units, including supercars, net revenues of approximately €3 billion, adjusted EBITDA higher or equal to €800 million, and net industrial debt lower to equal to €730 million. Moving to Page 4, we show our operating highlights for the first quarter of 2016. Our shipments reached 1882 units, showing an increase of 15% led by the V8 models which were up 21% thanks to the success of the two newly launched models, the 488 GTB and the 488 Spider. On the other hand, V12 models were down 6% due to the phase-out of the FF, the completion of the life cycle of the F12berlinetta now in its 5th year of commercialization and LaFerrari finishing its limited series run. This was partially offset by the new tdf, F12tdf. We remind you that the recently presented GTC4Lusso will commence distribution in the second half of the year. Net revenues were up 8.8% mainly due to cars and spare parts that offset an increase of 12% driven by volumes partially offset by mix and the negative contribution of engines, down 10%. Our adjusted EBITDA improved by 11%, topping €178 million and the result was primarily driven by higher volumes. Adjusted EBIT for the group showed a robust 21% increase, reaching €121 million, resulting in 190 basis points of margin growth. The adjusted EBIT improvement benefitted from various variables which we will comment later. Q1 2016 industrial free cash flow generation was primarily driven by EBITDA, partially offset by CapEx and negative change in working capital mainly due to less down payments received for LaFerrari. Q1 2015 industrial free cash flow included a €44 million one-time cash inflow related to a partial reimbursement of the financing of the Maserati inventory in China. Excluded that one time, industrial free cash flow would have been in Q1 2015 minus €9 million. Net industrial debt as of March 31 was reduced to €782 million primarily due to industrial free cash flow generation. If we move to the next page, on Page 5 in terms of geographical distribution, we achieved year-on-year growth in all regions proving our robust business model. EMEA, Greater China, rest of Asia Pacific enjoyed double digit growth mainly thanks to our new models, the 488 GTB, 488 Spider and F12tdf. Americas was up single digit due to the 488 Spider and F12 just arrived to the market. As a reminder, we are now phasing out the FF and we will introduce the GTC4Lusso in the second half of the year. At the end of March, the region Americas which represent 28% of total shipments was up 2%. USA performance was primarily driven by the 488 GTB and California T, offsetting the F12berlinetta at its 5th year of commercialization and LaFerrari completing its limited series run. The F12tdf just arrived in the market contributing for a few units in Q1 2016. And in Q1 2016 we began also shipping the F60 America, a strictly limited edition. EMEA representing 51% of total shipments increased by 24%. UK, our largest market in EMEA, had a 4% increase in shipments supported by California T and the newly launched 488 Family and the F12tdf. Strong performance was reported in Italy, plus 75%, in Germany plus 74% and other Europe and Africa for 35% thanks to the 488 Family and the F12tdf. Greater china, 8% of our total shipments increased by 16%. China mainland shipments grew by 67% thanks to the success of the 488 GTB. Hong Kong and Taiwan shipments dropped by a few units mainly due the phase out of the 458 family which was only partially offset by the 488 family. Shipments are planned to increase in the following quarters. Rest of Asia Pacific, representing 13% of our total shipments, increased by 14%. Australia shipments were up by 14% driven by the 488 GTB which more than compensated the phase-out of the 458 family. Japan recorded a slight reduction of 3% mainly due to the 488 Spider and the F12tdf that were not yet arrived in the market. Other Asia Pacific increased double digit driven by V8 models. Moving on to the next page, we comment our net revenues. Net revenues reached €675 million, up 8.8% versus Q1 last year mainly due to higher volumes. At constant currencies, net revenues would have increased by 8.4%. Let me highlight that during the first quarter of 2016 we benefited from the leverage of the 488 GTB which completed its distribution rollout and shipments of 488 Spider and F12tdf run[ph]. Cars and spare parts revenues of Europe, €52 million increase from cars and spare parts, EMEA showed an increase of 27% mostly related to higher volumes of the 488 GTB, the 488 Spider and the F12tdf. Greater China was up 39% due to volume increase of 488 GTB in China mainland and rest of Asia Pacific up 8% due to higher shipments of V8 models, partially offset by Americas down 11.5% due to lower sales of LaFerrari completing its limited series run and the 488 Spider and the F12tdf just arrived in the market contributing for a few units in Q1 2016. And the proportion of V12 models shipped went from 19% for Q1 2015 to 16% for Q1 2016 and was primarily driven by a 48% decrease in shipments of the F12berlinetta at its 5th year commercialization. Shipments of V8 models increased as a result of completing the distribution rollout of the 488 GTB in all the markets, the introduction of the 488 Spider to other countries as well as the contribution of California T partially offset by decreases in shipments of the 458 family which has been phased out. Engine revenues. Engine net revenues generated €57 million for Q1 2016, a decrease of €7 million compared to prior quarter in 2015, or 10% from €64 million for Q1 2015. The €7 million decrease was almost totally attributable to an increase in net revenues generated by a 38% decrease in the volume of engine sold to Maserati despite higher rental revenues from our Formula 1 teams. Sponsorship, commercial and brand net revenues reached €118 million for Q1 2016, an increase of €9 million or 8% from €109 million for Q1 2015 mainly due to better championship ranking in 2015 versus 2014. And other net revenues was flat at €19 million. Moving to Page 7, you can see the year-over-year changes in adjusted EBIT main items. Volumes were up €25 million thanks to an increase of approximately 260 cars excluding LaFerrari mainly due to the newly launched 488 GTB, the 488 Spider and the F12tdf; increased positive margin contribution from personalization also contributed to the volume component. Mix was negatively impacted by higher V8 versus V12 range of models, lower sales of LaFerrari partially offset by higher sales of special car FXXK and the first deliveries of the F60 America. Industrial costs and R&D substantially unchanged to minus €1 million attributable to higher spending of F1 racing activity partially offset by lower D&A for the 458 family and industrial cost savings. Lower SG&A costs of €2 million mainly due to timing effect of the 2016 Formula 1 racing season versus last year. Neutral impact of transaction exchange rate net of hedging and other was up €3 million due to other supporting activities contributing to the adjusted EBIT. Moving on to the next page on Page 8 and we comment the net industrial debt that at the end of March 2016 was €782 million down from €797 million at the end of 2015 due to industrial free cash flow generation of €28 million, partially offset by debt issuance costs and debt discounts on our recent issuance [ph] of the bond. The positive industrial free cash flow generation was primarily driven by EBITDA partially offset by CapEx and negative change in working capital mainly due to less down payments received for LaFerrari. Q1 2015 industrial free cash flow included a €44 million one-time cash inflow related to a partial reimbursement by Maserati of its inventory in China. Excluding that one time, Q1 2015 industrial free cash flow would have been minus €9 million. Net CapEx at €67 million was driven by our investment to sustain the product offering. Moving on to next page. We comment the memorandum of understanding which was signed today between Ferrari Financial Services S.p.A and FCA Bank. We've signed the MoU for SCA Bank to acquire a majority stake of Ferrari Financial services AG, a wholly owned subsidiary of FFS S.p.A. Ferrari Financial Services, and SCA Bank will continue the operation of FFS AG as a joint venture partners supporting the sale of Ferrari cars in certain European countries by offering innovative vehicle financing solutions to Ferrari customers. Moving on to next page. The GTC4Lusso was unveiled at the recent Geneva Motor Show. The new Ferrari GTC4Lusso is the Maranello's latest interpretation of the four-seater concept which combines extraordinary technology and performance in all driving conditions with sporty elegance and luxurious comfort for driver and passengers alike. We've been very active on a global basis with our CORSE CLIENTI as you can see on slide 12. As previously announced we signed a non-binding memorandum of understanding for that -- and we are on page 12 -- a memorandum of understanding for the licensing of the design, construction and operation of a new Ferrari theme park to be located in one of the primary cities in mainland China. As indicated during the IPO process, Ferrari's aggressively exploring the luxury goods space that extends beyond luxury sports cars while nurturing and expanding the Scuderia Ferrari merchandising concept which is inextricably linked to its racing activities in Formula 1. It is expected that the first evidence of this development, the Ferrari branded goods akin to its luxury sports car offspring would be accessible to potential customers in 2017 when the company celebrates its 70th anniversary. And moving to page 14, we outline our 2016 revised outlook. All metrics revised upwards. Shipments higher than 7900 units, including supercars. Previously we had mentioned in the initial guidance approximately 7900, net revenues approximately €3 billion, we had prior €2.9 billion. Adjusted EBITDA higher or equal to 800 million, previously was €770 million and net industrial debt lower or equal to €730 million while previously had lower than €750 million. And with that said, I hand over to Nicoletta. 
Nicoletta Russo: Thanks, Alessandro. Before we begin our Q&A session, I like to hand over to Mr. Marchionne. And we are ready to start the Q&A session. Please, Julia. Go ahead. Thank you.
Operator: [Operator Instructions] We will now take our first question from John Murphy from Bank of America.
John Murphy : Good morning guys. Just a first question the CEO change. Sergio, I mean obviously this is something that was somewhat expected by a lot of folks. But it is a change. I'm curious as you take the other rein and really have full control here, what do you think you might change sort of on the product side, on the cost side and really how should we think about the change in the CEO reins here?
Sergio Marchionne: Look, I mean I was no one that pitched the Ferrari case on the road, it's not going to be a different case than the one that I presented to the markets at the end of last year. I remain as bullish on the prospects for this company as I was when I presented Ferrari to the markets. I remain to be even more so convinced of its upward potential. When you look at Q1 2016 and you look at adjusted EBIT performance, you realize that we're beginning just now to define the true potential on the passenger car side what the sounds [ph] can actually deliver. So I think as Alessandro mentioned, I mentioned the fact that the personalization efforts are beginning to pay off. It is representing a more relevant portion of the revenue and as you well know that's probably the most financially rewarding piece of the car offering. I think we need to continue to explore pockets of profitability throughout the business and see whether we can bring this car – to bring Ferrari to produce a big of an EBTIDA as quickly as we can. That remains my immediate objective.
John Murphy : And then just a second question, as we look at the volume outlook that you're giving it's greater than 7900, I mean if we hit 7900, that would mean that volume would be flat on a year over year basis in second, third and fourth quarter and that seems awful conservative given what you just put out in the first quarter and the opportunities there appear to be for anyone in the Americas. I mean, how should we think about volume through the remainder of the year because the guidance that you're giving us is really just indicating flat to up. I mean I would presume more up than flat. But it just seems like there's a lot of opportunities to go through the course of the year to be significantly above 7900. 
Sergio Marchionne: I think the chances are there and I think we’re going to be -- you may have noticed from the way in which we were guiding that ,we're being cautious as we learn our reporting cycle here. I think as we keep on delivering quarters between now and the end of this year you may see a shift in those numbers as we see actual numbers come out. I think you’re going to have to bear with us until the end of the year, until we find our rhythm. I think it's -- there's a necessary level of caution associated with these forecasts and it's something that I think one has to keep in mind. We certainly do not want to disappoint and I think that the indications are that we may exceed all the targets we gave you. But I think we're going to wait until actual numbers come in. 
John Murphy : Very understandable and then just lastly as we think about mix in the quarter, I mean it really wasn't that great an aggregate headwind. I mean can you just comment on the F12tdf deliveries, maybe more specifically in the quarter and what we should expect for the full year? I mean I know we're looking at 799 in total. But you think you'll get the bulk of those this year and that might even reverse the mix impact as you go through the course of the year? 
Sergio Marchionne: No, I think we probably will not exhaust the whole pop in 2016. We delivered less than 20% of the volumes in Q1 of the number that we gave you. And you probably correctly pointed out that as being 799. I think we're going to pace those throughout the year and it's not a question of just pacing revenue. I think it's a question of being able to deliver the products out of the factory. I think most of them will be deliverable in 2016. There will be a hangover effect in 2017. 
Operator: Thank you. Our next question comes from Martino De Ambroggi with Equita.
Martino De Ambroggi : Martino from Equita. Focusing on free cash flow. I know you did not disclose the terms of the agreement, therefore have a financial business with the SCA Bank. But just to be sure the changing guidance is not related to this in terms of net debt, is not related to this transaction, first?
Sergio Marchionne: It's not. 
Martino De Ambroggi : And the second question is on free cash flow. Could you remind what is the one off impact for the taxes cash out this year? I remember last time we discussed more than 100 million but maybe today you have a more precise indication which is included in your guidance.
Alessandro Gili: Yeah that's correct, Martino. We have been expecting down payments for taxes related to 2016 in the second part of the year for more than 100 million.
Martino De Ambroggi : And regarding the EBIT guidance. If I understand correctly the main changer to your guidance is that related to volumes or there is any other issue that should be taken into account? And I remember forex was expected to be positive -- but mainly in the second half of the year, so it should come going forward?
Sergio Marchionne: With all due respect, I think that improvement in guidance is both in EBITDA and lowering debt. For the number that Alessandro mentioned, 100 million is already included in the net debt number at the end of 2016, the expected number. It includes the one off payments in taxes.
Martino De Ambroggi : Yes, my question now was on the EBIT, so just to understand if it’s driven by higher volumes or there is some other element driving the improvement in profitability?
Sergio Marchionne: It’s both improved margins and higher volumes. 
Martino De Ambroggi : Forex was 50 million. 
Alessandro Gili: Yes, forex is unchanged compared to the guidance we provided at the beginning of the year. 
Martino De Ambroggi : Okay. Very last on merchandising strategy, any timetable for the disclosure of your strategy?
Sergio Marchionne: I think the press release makes reference to 2017, we can actually show what we intend to do with the non-car luxury end of the business. I think we will have to wait where we celebrate the 70th anniversary next year. 
Operator: Thank you. We will now take our next question from Ryan Brinkman from JPMorgan.
Ryan Brinkman : Hi great, thanks for taking my question. Can you give some more color about the thinking behind the share repurchase authorization at the recent annual general meeting? I don't remember buybacks being discussed too much around the time of the IPO but rather a strong dividend payout. Was this response to the valuation of the shares in the market and how should we think about the cadence of any possible repurchases?
Sergio Marchionne: I think it's a healthy thing to have in terms of corporate authority. I think given what we've seen in the marketplace and the fact that we have seen some bizarre trading journey at the time of the spin out of SCA into unsuspecting shareholders who may not have wanted to be a long term shareholders of Ferrari. Had we had that authority in place I think we would have been able to act in a more intelligent fashion. There's no doubt that there was value arbitrage that was being left at the table -- on the table at the time of the spin and I think it was unfortunate that we were not able to act and I think it's good corporate authority to have, period, whether we use it or not. It really doesn't matter. I think the important thing is to have it. Just to go back to your comment about what I said during the road show. I think what we clearly stated that this was a cash generative business and as such dividend payouts and share repurchases were the easiest way in which we could deliver value to shareholders. One was not exclusive of the other and even dividend payouts as forecast during the road show will eventually still yield a business which is fundamentally un-levered. And in that situation the only thing you can do is go back in and buy shares. 
Ryan Brinkman : Okay. And can you share what you plan to do with any proceeds from the sale of a stake in Ferrari Financial Services? 
Sergio Marchionne: We reduced the financial debt to support the financing activities. It was zero impact on the net industrial debt. 
Ryan Brinkman : Got it, and then just lastly you mentioned that your margin would have looked better relative to Porsche’s had it not been for the hedging? Is it possible to say what your EBIT margins or what your EBIT would have been without the hedging?
Sergio Marchionne: 21%. 
Operator: Thank you. We will now take our next question from Massimo Vecchio from Mediobanca.
Massimo Vecchio : Good afternoon everybody. First a clarification on the MoU with SCA Bank. You profess to the only European portfolio right? Is it correct. 
Alessandro Gili: That’s correct.
Massimo Vecchio : Second question on the business with Maserati regarding the engines. I believe you made no secret that this business has lower margins than car business and obviously there is a contract which is expiring in 2023, if I am not wrong. So I was trying to understand what would you do if the contract expired tomorrow, I mean which position are you with this production facility, what could you do with this spare capacity? And also sorry, how long before you have to decide what to do with this?
Sergio Marchionne: Look, I can give you an answer, sort of the FCA user of the engines. We have no intention of abandoning the relationship with Ferrari and Maserati, I think it's something that we have found incredibly helpful in terms of the marketing of the Maserati products on a global scale. And I don't know of a reason today that would suggest that those volumes would actually drop or they would deviate from forecast. The launch of the Maserati Levante is going to draw a substantial portion of the capacity that's been allocated by Ferrari to Maserati. And as much as on the full cost basis it does not provide equipment and margins for what we get from car making. It does provide a good level of absorption of fixed costs within the plant, I think it's something that's desirable and I think it's something that Ferrari will continue to nurture going forward. 
Operator: Thank you. Our next question comes from Adam Jonas from Morgan Stanley. 
Adam Jonas : Hey everybody. First one is kind of housekeeping. Did you disclose or can you give us an indication of how much movement capitalized development costs versus amortization of such costs impacted the margin in the quarter?
Alessandro Gili: Of the €67 million of CapEx, almost €40 million are related to R&D in terms of capitalization component. 
Adam Jonas : And then the second one for Sergio. Regarding Formula 1, it seems F1 and Ferrari are inextricably linked in that Formula 1 does not exist in its current form without Ferrari. And Ferrari does not exist in its current form at least without Formula 1 or at least in motor racing at its highest state of the art in whatever form or entity that may exist. And at a time when a lot of other global sports franchises are reaping huge benefits from global marketing endorsements, it seems F1 is – and I want to be polite here Sergio, it seems kind of at a crossroads where it might have a lot of room for you to improve. It seems you’re massively undershooting its commercial potential basically, if I want to be blunt on a global scale? And without getting too far down the rabbit hole of politics and leadership at the FIA and Formula 1, Sergio, can you explain the potential for Ferrari's role especially with your enhanced role at that organization to help recast the sport's image and strategy and how could this pay off not only for existing and untapped fan bases of Formula 1 but also for Ferrari shareholders and stakeholders as well? Sorry to be a bit verbose there but, thanks.
Sergio Marchionne: You actually were incredibly tactful and I'm going to try and give you a very tactful answer. Look, there has been a huge amount of work that has been done by – through Bernie Ecclestone to try to build the F1 into what it is today. And I think he's got years of experience that he has applied to the enterprise here. So I think we have all benefited from his leadership and his management. There is not a single doubt in my mind that Jean Todt over at the FIA has now provided a sort of good interface for the racing teams to begin to have a dialogue about the shaping of the sport going forward. I sit on the board of the FLM together with a couple of other racing teams. And we all have a very keen interest to make sure that we express the highest potential from this business. There are discussions that are going on within that environment now, how to best improve this business. We're going to be incredibly collaborative to try and make sure that we drive the bus in the same direction. And on this issue I have to agree that as competitive as we are, especially against Mercedes on the track, I think we – both Mercedes and ourselves see the proper development of that – or what they refer to as the circuits to be in everybody's best interest. It's a work in process. It is something which Ferrari needs to engage because it is as you said correctly it is at the heart of the brand. We will do everything we can to make sure that we explore the highest possible potential out of F1. And I tend to agree with you that I think that there is potential that is yet unexploited and it's not expressed. And I think it will benefit everybody at the table including the holders of other commercial rights in Formula 1. So the only thing I can tell you, Adam, is stay tuned. This is a work in process that will develop over the next little while. I think the last decision that was made by the F1 commission following a pretty lengthy discussion at the strategy group in terms of the changes to the 2017 regulation, especially two things. One, the stabilization of the engine rules up to 2020 and the commitment by the engine providers, the four racing teams that have engine supply capability, the obligation to provide engines to other participants in the Formula 1 circuit will provide the right level of stability in terms of the number of teams that will race. It’s designed to bring down the cost of execution. We have also agreed a number of changes to the body style and the size of tires that will be used in 2017 and hopefully will become a permanent element in the racing schemes going forward until 2020. And so consistent with what I've said both in the road show and on other calls we do expect the cost of F1 compliance, our costs to come down between now and 2018 and 2019. But the biggest issue to me is to make sure that this sport achieves the highest level of market acceptance and recognition that it can and we're a long way from that objective today. 
Operator: We will take our next question from Thomas Besson from Kepler Cheuvreux.
Thomas Besson : Thank you very much and have a few quick questions please. Could you give us some qualitative comments about the evolution of cars and spare parts revenues within these buckets please? Is there any uptick in the spare parts business or is it really the personalization element that has driven the year over year revenue that – 
Alessandro Gili: The increase in cars and spare parts is mainly driven by volume. There is a component of personalization which is an additional 1% compared to the historical 15% on our top line in terms of contribution from personalization. 
Thomas Besson : 1%. Thank you. Could you give us an indication on the tax rate for the full year please? You’re benefiting from a lower tax rate in Italy. What do you now expect for 2016?
Alessandro Gili: Substantially in line with Q1. 
Thomas Besson : And lastly, on the hedging, can you just be a bit more specific in terms of hedging cost for the quarter substantial and therefore substantial hedging benefits in going quarters, is that what we should expect the same positive impact on the full year bridge with the less cost in coming quarters, right?
Alessandro Gili: The contribution from – the negative impact from the hedging in Q1 was approximately close to €30 million. And on the annual basis I think we provided last time the overall effect is close to €100 million but you need to consider that is already in our guidance in the second half of the year contribution from FX variance compared to prior year, around €50 million. 
Operator: Thank you. We will now take our next question from Lello Della Ragione from Intermonte.
Lello Della Ragione : I have a couple of questions. The first one is on the free cash flow bridge and actually the net industrial bridge. I was wondering if you can comment on the other element the €45 million there, and on this point also, can you indicate that's what we should expect in terms of net working capital, since the effect of the down payments of LaFerrari will last for even the next quarter probably, and should we expect something in the same magnitude in the second and third quarter probably until the start of the GTC for down payment?
Alessandro Gili: So just to take all the questions, so the overall change -- there are two changes, one in working capital which is partially driven by timing on our receivable side. And then in the other you see the component related to the down payments received for LaFerrari, there is a combination of two different elements, including the fact that we had lower CapEx payable in Q1 which is typical of our seasonality on CapEx. And on the other side, in terms of working capital, working capital typically is negative for us, therefore should be a contribution in terms of cash for the house. There was a timing component related to seasonality which I just mentioned. So we expect to have a positive contribution from working capital -- positive from a cash flow standpoint in next quarters. 
Lello Della Ragione : Okay. I have also another one, it’s on SG&A. You mentioned seasonality in F1 and actually the rate was quite low compared to last year and even last first quarter 2015, should we expect this to o reverse in the second quarter or should we expect SG&A ratio below 10% as you posted in first quarter in terms of on sales?
Alessandro Gili: The SG&A ratio should be substantially in line with an 11% on an annual basis. This is really timing because we had one less race compared to last year but this year actually we will have 21 races in total from an annual standpoint compared to the 20 we had last year. 
Lello Della Ragione : And the last one actually on D&A, also we have a very low percentage on sales and I was wondering, okay, it's going down, you mentioned the D&A related to the model that you’re not producing any more but you’re starting the GTC4 soon. And I was wondering should we expect this level to continue until the second quarter and then come back around the 9.5%, 10% by year end or is it something that’s going down and will remain below 9% for the rest of the year?
Alessandro Gili: D&A in total this year will be slightly lower than in prior year on an annual basis. Main reason is the 458 family phasing out, as well as it’s an effect driven by the fact that we don't have D&A on the LaFerrari side. So that's a combination of the two elements, so the percentage wise it should be slightly lower than last year.
Operator: Thank you. We will now take our next question George Galliers from Evercore.
George Galliers : Hi, thank you for taking my question. First question I had was just going back to the comments around hedging and your margins. The 20% to 21% seems a large step up from the 15% average margin we've seen for Ferrari over the last three years. Can you perhaps explain what that drive is behind this 500 basis point improvement, is it predominantly volume, is it special editions, personalization? Or is there another piece? For example, have you had negative hedging effects in your numbers for some time?
Sergio Marchionne: How about better management? 
George Galliers : Okay. And any further details or – 
Sergio Marchionne: It's good enough. 
George Galliers : And then secondly, just when you give your outlook and guidance, I realize if you don't give details on future products. But when you give the outlook, does that include future models that may not be released or revealed to the press or investors but are within your internal plans in which you plan to build and announce in the future?
Sergio Marchionne: I don't know how to answer your question, because maybe you can give me a simple version of the question you just asked. 
George Galliers : Say, for example, when you give your outlook today, if for example you are going to announce another special edition at some point during this year, does your outlook today include that announcement that will come at some point in the future? So if during the summer you announce a limited edition of five models that you're planning to build, in November would your outlook reflect back?
Sergio Marchionne: I think I understand your question. I’d point out two things. If you look at the guidance, the guidance has intentionally been structured as providing an equal to or greater than number. So it's by definition possible for us to improve on that performance, we're giving these numbers as minimum guidelines for the achievements expected for 2016. And secondly, we will not do anything through the guidance mechanism that would effectively break with commercial practice that Ferrari has had here in the last 70 years. And so to the extent that we will not have publicly announced a particular special version until a particular point in time in the product cycle or in the commercial activities of this group, we will not have updated guidance to reflect that. And we cannot do it because we cannot undo commercial practice to the financial disclosure as long as we're being consistently conservative in the guidance that we’re giving. And that is the approach that we're taking. 
George Galliers : And then just very final question; can you just talk a little about the mix? Clearly the V8 sales were very strong with the 488 shipping very well. But when we look at the 12s and taking into consideration the fact that there are some F12tdfs in there. It looks like it’s been a significant step-down. Is that something we should expect to continue until the GTC4Lusso launch later in the year?
Sergio Marchionne: Well, the answer is yes. I mean fundamentally we've got both the FF that's coming out of production that's going to be replaced by the GTC4. That's not going to be available until Q3 and Q4 of this year. The F12, as Alessandro mentioned is now in its 5th year of commercialization. So it is by definition going to be a diminishing number as we go forward. Until the 12 lineup gets renewed and it's happening now first with the FF successor, you will see that number not be substantially different. It would improve in the second half of this year I expect. But until the new F12 gets launched or replaced before the F12 gets – is introduced, I think that, that mix will not drastically change. Having said this, I don’t think this is going to negatively impact margins. 
Operator: Thank you. We will now take our next question from Gabriele Gambarova from Banca Akros.
Gabriele Gambarova : Thanks for taking my question. One was on the mix. Alessandro, you cited the breakdown between V8 and V12 but I'm sorry I missed the figures [ph]. 
Alessandro Gili: It’s 21% up for V8 and 6% down for V12.
Gabriele Gambarova : So you're not providing an absolute number for this – how many cars?
Alessandro Gili: We really aren't providing it. 
Gabriele Gambarova : And the last one was on Stratagem [ph]. From time to time there has been rumors about a new Ferrari, possibly a fifth model product line or something that might be, let's say, are more entry level, so possibly -- there have some rumors around it. So I wanted to know if – 
Sergio Marchionne: If the rumors are true?
Gabriele Gambarova : Yes. 
Sergio Marchionne: If they were true there would not be rumors anymore because we would have announced it. So I really have nothing to add to that. I think when we make a decision as to what permanent changes will make to the portfolio, we will announce it accordingly. But based on what I know today there are no significant changes that are happening to the portfolio going forward. Other than what we've disclosed to the markets. End of Q&A
Operator: There are no further questions in the queue. I would now like to turn the call back to the speakers for any additional or closing remarks. 
Nicoletta Russo: Thank you everyone for attending today's conference call. I'll be available for any follow-up questions you might have. Thank you. 